Operator: Good afternoon, ladies and gentlemen and thank you for holding. Welcome to the Dyadic International's Third Quarter 2015 Financial Results Conference Call. At this time, all participants are in a listen-only mode. My name is Shinel and I will be your conference coordinator today. As a reminder, please note that this call is being recorded. At this time, I would like to introduce your host for today's call, Thomas Dubinski, Dyadic's Vice President and Chief Financial Officer. Please go ahead, sir.
Thomas Dubinski: Thank you, Shinel. Good afternoon and thank you for joining today's conference call to discuss Dyadic's financial and operating results for the third quarter of 2015, which was reported in the press release issued earlier today. The press release and Dyadic's quarterly financial statements have been posted to both, the Dyadic and OTC Markets' Web sites. I'm joined today by Dyadic's President and Chief Executive Officer, Mark Emalfarb and our Executive Vice President and Chief Operating Officer Danai Brooks. On today's call, Mark and Danai will cover operating highlights, further details on the DuPont transaction and post transaction corporate strategy, and I will review our financial results in more detail. We will then give you an opportunity to ask questions. Each caller will be allowed one question and one follow-up question in order to provide all callers an opportunity to participate. If time permits, the operator will allow additional questions from those who have already spoken. Before we begin, we would like to remind you that certain statements made in this conference call maybe forward-looking statements, which involve risks and uncertainties that could cause Dyadic's actual results, performance or achievements to be materially different from any future results, performance or achievements expressed or implied by these forward-looking statements. Dyadic expressly disclaims any intent or obligation to update any forward-looking statements except as required by law. I will now turn the call over to our President and CEO, Mark Emalfarb.
Mark Emalfarb: Thank you, Tom. Today, we will be providing you with additional details around the proposed DuPont transaction, a preliminary view on what proposed transaction will look like and a review of our performance for the past quarter. Let me first address the question being asked of us about how much cash we will have post closing? At September 30, 2015, cash and cash equivalents were approximately $6.3 million. If the transaction closes we're expected to receive 67 million of the 75 million purchase price within additional 8 million held in escrow for 18 months on our behalf. As reported earlier, we intend to use a minimum of $15 million to repurchase stock, as soon as we have more clarity on the variety of unresolved issues such as litigation we will revisit how much cash will be available for possible additional stock repurchases. Considerations that will affect the amount of cash we may have post transaction includes the amount of our $8.4 million in convertible debt that will be converted into stock or will be paid off with cash at closing. The amount of transaction expenses, the amount that will be required to satisfy retained and contingent liabilities, if any, the outcome of our ongoing professional liabilities litigation and the amount we’ll need to funs the ongoing pharmaceutical business. As we obtain more clarity on each of these issues, we intend to share that information with our shareholders. For most of 2015 we've been working diligently on the potential sale of our Industrial Biotechnology business including a very thorough due diligence process and negotiations with DuPont. During that time despite these detractions, we continue to successfully operate our business with 20% growth year-to-date in overall revenue. We achieved this performance with tight fiscal controls having made a decision to raise a very limited $2 million of capital earlier this year. As I mentioned as past two days conference call, we believe that the transaction with the DuPont provides tremendous value for our shareholders as well as better liquidity, critical to our rationale to sell a portion of our business that we believe to remaining Dyadic is highly attractive enterprise for four key reasons. As part of the transaction DuPont will grab back to Dyadic co-exclusive rights, through the C1 technology for use in a human and animal pharmaceutical applications with exclusive ability to entering to sub license agreements in that field. DuPont will have a co-exclusive right to the C1 technology for used to human and animal pharmaceutical applications, if DuPont utilizes C1 technology for development and production of pharmaceutical products, they will make a royalty payments to Dyadic, upon a commercialization. This transaction provides us an exceptional opportunity to accelerate and further improve the C1 technology platform for use in the development and manufacturing of biologic drugs. We believe this infusion of capital will help to accelerate our pharmaceutical offerings where we believe our C1 technology has the potential to help development and manufacturer drugs and vaccines faster, more efficiently and much a larger scale in the existing biopharmaceutical production systems. As part of our co-exclusive pharmaceutical license with DuPont we negotiated what we believe is a significant benefit to carryout portions of our pharmaceutical research at our former research center with the same scientist, who have been successfully working with C1 for Dyadic all these years as well as gaining access to DuPont scientific expertise and experience in the field of filamentous during this research services period. This benefit is expected to provide Dyadic operation flexibility along with additional R&D capabilities and expertise help us further develop our pharmaceutical business initially without the typical cash burn rate associated with biotech companies. We expect the Dyadic focus on the pharmaceutical industry along with the negotiated support from DuPont will enable the company to potentially achieve research goal sooner and more effectively than otherwise possible. In addition, the unique attribute to C1 may create attractive licensing opportunities to providing our partners with research, development and operational efficiencies and reduce requirements to licensee capital expenditures. As part of the transaction we retained all of the potential rights and obligations associated with our ongoing professional services liability litigation against the law firms Greenberg, Traurig, LLP, Greenberg Traurig, P.A. and Bilzin, Sumberg Baena Price and Axelrod, LLP. We believe that our post closing cash position will strengthen our negotiating position and settlement discussions with those firms. As we expect to have a necessary cash on hand to see this litigation to trial and if necessary any potential deals. We also believe this transaction strengthens our legal position with regards to the litigation as the ability to monetize and aspect of the technology further supports to damage analysis it has been undertaking as part of the litigation. We continue to make progress with the lawsuit. On July 31, 2015, the company retained settlement in the litigation with another less significant defendant law firm on August 12, 2015 the company received full payment of $2,170,000 which is net of fees and expenses. As we mentioned in our press release, we have some very important dates coming up related to the ongoing litigation in the near future. In an effort to promote settlement, the court ordered the parties to non-binding arbitration with an initial hearing to occur before December 16, 2015 and a court appearance on November 13, 2015, at which time the court is expected to set a 2016 trial date. In addition, the parties have agreed to participate in non-binding mediation next week November 18, 2015. Finally, as I previously mentioned we are excited that the transactional will enable us to return capital to our shareholders in the form of a share buyback. We are considering way to this form that we’ll provide all of our existing shareholders a way to participate to the extent they decide to liquidation a portion of their holdings on a pro rata basis. We will continue focus on ways to use our capital to trade increased liquidity and long-term value for our shareholders. I will now turn it over to Danai Brooks, our Chief Operating Officer to discuss the business operations and the future Dyadic business model.
Danai Brooks: Thank you, Mark. I’d like to briefly touch on the performance of the enzyme and technology assets which includes the C1 platform being sold to DuPont. Revenue for our industrial enzyme business was up 21% and R&D revenue was up 83% year-over-year in Q3. In a few short years we have grown the industrial enzyme revenue 62% from a $7.8 million business in 2012 to a $12.7 million run rate for year-to-date 2015. During the same period, we grew gross profit by over 160% and increased gross margins from 25% to 41%, which are record levels for Dyadic. The business was financially profitable on an adjusted EBITDA basis for both Q3 2015 and year-to-date 2015. We’re extremely proud of our team’s performance in growing the business profitability and believe those efforts have created significant value for our shareholders in the sale to DuPont. Moving to the ongoing pharmaceutical business, operationally, we expect the ongoing business to have a limited number of employees in Jupiter Florida and access to researchers Netherlands being via an agreement with DuPont. We view access to this world-class research team to be one of the key benefits to Dyadic in the transaction. We have initially budgeted $3 million to $4 million in our preliminary post-closing business plan which will include both executive pay, general and administrative expenses and approximately $1 million for third-party research at DuPont or elsewhere. Post closing, we’ll continue to refine our business plan to determine the best ways to monetize the retained C1 rates in the pharmaceutical industry. Depending on the results from our ongoing research programs, we may decide to increase R&D spending to further accelerate our pharmaceutical development programs. Over the past seven years, Dyadic has demonstrated a strong track record of fiscal responsible management to create scientific and business achievements. Initially, our efforts will be centered on our two pharmaceutical initiatives, the vaccine development program with Sanofi and the EU-funded ZAPI program. As previously announced we’ve had very good pre-clinical results for a vaccine project with Sanofi. Our C1 produced antigen generated an equal or better immune response in mice, from the industry standard vaccine. We expect the same Dyadic personnel, who have worked with Sanofi over the past few years to continue their efforts through a contract with DuPont. Looking forward we anticipate additional research and pre-clinical work will be required prior to a licensing decision with Sanofi. No time table has been out. We believe that the Sanofi’s anticipation of occurring this initiative or ZAPI program is a crucial asset to the forward-looking DuPont -- I mean Dyadic pharmaceutical business. Funded by the EU Horizon 2020 program, ZAPI brings together leading human and animal health expertise across Europe, led by Merial, Sanofi's animal health arm participants within ZAPI include experts from regulatory agencies, academia and industry including AstraZeneca, Dyadic, Utrecht the University of Bonn, Leiden University and a number of other companies. We believe that Dyadic's C1 technology may play a key role in ZAPI as a core enabling technology and an end-to-end solution for the rapid deployment and launch of vaccine products to combat epidemic infectious diseases in animals that have the potential to effect the human population. Importantly, the program will provide us with the pathway towards validating biologics produced from C1 and fast tracking these new C1-based drugs through EU regulatory approvals. Our hope is that regulatory progress made through ZAPI can be transferred to our other biologic drug development programs, potentially saving us significant time and money. In addition to ZAPI and Sanofi, we will have number of other conventional opportunities to create value for our shareholders which have been identified. First, we can seek U.S. government funding, especially in vaccines where our ability to scale may be an attractive advantage. Second, we can sub license C1 to other interested companies for upfront cash, milestone and royalties for using biosimilars or the development of new biologics. And third, we can develop our own biosimilar molecules for license. This is not a long or expensive process, we believe we can develop several molecules within a two year timeframe and within the cost included in our $3 million to $4 million annual operating budget. We do not plan for Dyadic to do any clinical trials or registrations. Now let me turn it over to Tom, our CFO to discuss the financials.
Thomas Dubinski: Thank you, Danai. In our quarterly report we have reclassified the revenues and expenses of our industrial technology business to income loss from discontinued operations. And the related assets and liabilities to assets held for sale and liabilities related to assets held for sale, for all the periods presented in the consolidated financial statements. At September 30, 2015 cash and cash equivalents were approximately 6.3 million compared to 2.5 million at December 31, 2014. On July 31, 2015, the company reached the settlement with another less significant defendant law firm and on August 12, 2015 the company received full payment of $2,170,000 million net of fees and expenses, which was reported in the company's consolidated statement of operations for the quarter end September 30, 2015. Net income from continuing operations for the three month period ended September 30th, was approximately 1.3 million or $0.04 per basic and diluted share compared to a net loss of 1.2 million or $0.04 per basic and diluted share for the same period a year ago. Net loss for the nine-month period ended September 30, 2015 was approximately 0.8 million or $0.02 per basic and diluted share compared to a net loss of 4.3 million or $0.13 per basic and diluted share for the same period a year ago. Revenue and gross profit for the quarter in year-to-date respectively reflect two ongoing R&D biopharmaceutical projects Sanofi and ZAPI. General and administrative expenses for the quarter and year to date are favorable 19% and 23% respectively, reflecting principally lower litigation costs. R&D expenses for the three and nine month periods ended September 30, 2015 decreased to 0 from approximately 4,000 and 72,000 respectively in 2014 as a result of the closure of our North Carolina lab in April of 2014. Other income for the quarter and year to date reflects the company's receipt of the litigation settlement previously discussed of $2,170,000 million net of fees and expenses. Net Income from discontinued operations for the three month period ended September 30, 2015 was approximately $0.6 million, or $0.02 per basic and diluted share, compared to a net income of 0.2 million, or $0.01 per basic and diluted share, for the same period a year ago. Net income for the nine month period ended September 30, 2015 was approximately $2.0 million, or $0.05 per basic and diluted share, compared to a net loss of $22,000, or 0 per basic and diluted share, for the same period a year ago. After the potential and timing of an uplifting of our stock to the NASDAQ or another major exchange, we get the further decision on the timeframe until we have more clarity regarding the various issues Mark discussed. We understand the importance of what uplifting the stock may have on shareholder liquidity and we're very sensitive to that issue. As you know, the uplifting of stock requires much more than just completing some paper work and expanding our financial reporting. We currently do not meet the minimum lifting requirements for NASDAQ and may not surely after the transaction closes. Fortunately after closing we will have adequate capital to fulfill our business plans and can offer our shareholders’ liquidity through one or more stock repurchase programs. We expect that if we can achieve our business plan objectives we can generate enough investor interest to comfortably meet the listing requirements and at that point consider filing. Uplifting is that something that the management or the Board has lost sight of in the past or in the present. Management and the Board discuss this topic regularly and we will keep you informed as to our progress. Now, I would like to turn the call back to our operator to take your questions, Shinel?
Operator: Thank you. [Operator Instructions] And our first question comes from Barry Kitt with Pinnacle Fund.
Barry Kitt: Good afternoon Mark and Tom and Danai and the rest of the team I want to congratulate you for getting the DuPont transaction and for tapping through a lot of tough years to get to where you are right now. If you could Mark if you could again repeat the Sanofi results that maybe for us online and explain what that means?
Mark Emalfarb: Okay, well. Barry, thank you as well for all your support over the years because that's been very instrumental in our success as well and we are appreciative of that. Sanofi the results that we reported in October and I don’t know the exact date but maybe about a month ago that we actually have been able to produce a vaccine from C1 they try to putting in mice trials and the response the immunogenic response in mice was equal or better than the commercial product that they have on a market today. And what that means is that we have the promise to not only potentially make a cheaper vaccine at larger volumes and lower cost, less CapEx and less operating cost potentially it bring vaccines to the market quicker but in this particular case this vaccine potentially looks like it might be even better. So we’re working with Sanofi to try to figure out a way to expand that and to accelerate the timelines to do more research to bring that and other vaccines and potentially other therapeutic biologic drugs to the market place so we've got their attention they seem to be very encouraged by what they've seen and we want to see if they can leverage that into a deeper relationship.
Barry Kitt: Can you explain that how much cheaper or faster using C1 versus the traditional methodologies or what the difference maybe?
Mark Emalfarb: I really can't because I don’t have the specifics of the existing systems they are using but I know we can make it a harder yield in lower time at lower media cost so it can be dramatically cheaper faster I think that we can clone genes in the C1 quicker than you can in the existing technology to using for this vaccine but really exciting thing here to me is if it looks like you will make it better potentially.
Operator: And we will take our next question from Tim Quinlisk with Mayo Capital.
Tim Quinlisk: Just a follow-up on the transaction, what remaining conditions need to be fulfilled on your end before the transaction you can close number one and number two are there restrictions on the licensing back to you on the platform regarding a change to control what would happen in that instance?
Mark Emalfarb: Can you clarify what you mean by that change in control?
Tim Quinlisk: So what would happen maybe down the road if somebody purchased Dyadic? What would happen is the drug license is that assignable to the purchaser?
Mark Emalfarb: Yes. That would not as far as I can recall that would not have any effect what so ever on the purchaser.
Tim Quinlisk: Okay.
Mark Emalfarb: And to your other question this is customary closing conditions it would be in a deal of this size and stature so we don’t expect that we won’t be able to meet any of those conditions but you never know something you come up out of nowhere so but. [Multiple Speakers] We believe that DuPont is excited about the technology that brings tremendous benefits to them they can leverage what we've done bring it further and faster on a variety of run scenario in our enzyme business and the technology platform for biologic sugars for enzymes for feed food all kinds of applications and they have the wherewithal and their skills and experience to take this further and faster than we could do it on our own. So I don’t foresee any issues and we’re all committed on both sides we are getting this deal done as quickly as possible.
Tim Quinlisk: Okay. And then just the follow up on that the $8 million that's held in escrow what are the requirements of the conditions on your part to release that fund?
Mark Emalfarb: Well it's actually it's an 18 months traditional reps and warranties that you indemnification just think that you give us part of the transaction and does are many of the things that took a long time to negotiate through the discussions to limit those to as much as possible. So we expect it's kind of like a that you get a landlord and a building and it’s restricted cash and at setting them an account and also it's going to be years and one certain things you have done it's a networking capital adjustment for example but other math there is really no other reason and we shouldn’t get that money.
Tim Quinlisk: Okay and then just I'm sorry one follow up if you don't mind then I'll get back in the queue. The converts that are outstanding in my recollection as those strike prices will reset to approximately $1 give or take a few cents is that correct and again…? [Multiple Speakers]
Mark Emalfarb: And actually, they are 1.28 and 1.48 depending on which note.
Tim Quinlisk: Okay and are there any requirements mandated by the sale of assets to convert those or I mean, to prepay those?
Mark Emalfarb: They have the ability to either convert them or get paid.
Operator: And we'll take our next question from Stuart Syme who is a Private Investor.
Unidentified Analyst: First congratulations to team for doing an outstanding job over long several long and arduous months I have a question relating to the litigation. I was a little confused by the two points, first that the parties were ordered to non-binding arbitration with an initial hearing on or about December 16th and that was followed by another progress which says that the parties' voluntarily agreed to participate in non-binding mediation on November 18th. As a formal litigator, I'm not sure if the difference between non binding arbitration and non binding mediation, are these two separate tracks with different parties and a bit different arbitrators or mediators involved and could you explain what the point of having a parallel track or is it something basically the same thing under a different name?
Mark Emalfarb: Yes, let me give a framework. The mediation on November 18th was something that the defendants asked us for they had an offer, they wanted to present us and they wanted to present us that offer in mediation rather than just give it to us. So, that started before the judge decided that we would have a non binding arbitration that was ordered by the court so we don't agree to the mediation and that obviously is with a different person and the arbitrator. So they are two different people, two different regions. My believe that the judge would like to try to get the parties to settle this long contracted case, which is obviously we believe a very good case in our part with extremely potentially high damages that we could recoup and I think the judge is trying to get both parties together and try to figure out if there is a way that we can meet somewhere and that's why we're stuck in two different channels. So one was they defendant is asking us to get into bed with them and think about settling and we agree to do that rather than just have them send it to us and decide without the mediator trying to help bring us together and the other one is a court ordered arbitration where I guess we will present and they will presented on a very limited basis by information to the arbitrator, the arbitrator will then come up in is on mind to the damages if any responsibilities and hopefully, whatever number may or may not be bring us together before we get the trial and then the third track is on Friday the 13th, the judge has bunch of motions, he is going to hear hopefully the last of the motions and we anticipate that he will set a trial date for sometime in the first half of 2016. So there in finally we will have a deadline where these defendants are going to have ways [indiscernible] and face the responsibilities and the act that they carried out. So hopefully that clarifies that and we have to resolve it, but we are prepared to go all the way and we now have the resources and as I mentioned in the fact that I wrote, not only do we believe that we have the cash, we also think that there is now a strengthening of our legal position with regards to litigation in terms of the ability to monetize an aspect of the technology further that supports the damage analysis that's been undertaking by our expert and one of our experts is part of the litigation and we think that it's not proven that the multiplier that the expert, that is a very-very smart bright skilled person came up with in fact I think DuPont has proven that's probably realistic expectation and the way to assist damages.
Operator: And we'll take our next question from Jerome [indiscernible] who is also is a Private Investor.
Unidentified Analyst: [Indiscernible] on another company making a counter bid?
Mark Emalfarb: You're breaking up but I think, you asked what the potential of another company making a counter bid?
Unidentified Analyst: Yes.
Mark Emalfarb: I guess that they can make one. And if they do, we have a fiduciary response to entertain it.
Operator: And we'll take our next question from George Kribo who is also a Private Investor.
Unidentified Analyst: What are the approximate total number of options outstanding by Board Members and other shareholders or direct issues here?
Mark Emalfarb: Yes George. I think the answer to that question is we will be sending a proxy out very shortly and that will give you all the information and all other shareholders all the information they are ever going to want to see. So I would differ to that that's going to becoming soon and you have everything you need to make an important decision.
Operator: And will take our next question from Richard Deutsch with Ladenburg Thalmann.
Richard Deutsch: Well I would like to tell you that this is the best call you guys have ever made you have exceeded the bar and I want to congratulate you in clarity and the detail which you presented the information it's really done much-much better job and we really appreciate it. And I want to make a point having followed this company for so many years that it's clear now from your results in your business that this company was becoming profitable and was hitting its goal and with this transaction if I may say was to accelerate you can just confirm this or not accelerate the opportunities in the pharmaceutical field which has the highest pay off but it was not done from weakness it is done from strength and opportunity that was afforded to you by DuPont's desire to take advantage of the assets you had sold over the last 10 years and it's been over $90 million somewhat and your partners have spend $100 million on developing this has never been appreciated by public or the stock in my opinion and I think we're just starting today to come into that realm. So after that preamble and I'd like to just ask you a couple of details and I will move back in to the queue guys. There was a pretty spectacular quarter and there is some other points but there is one in your financial statement and I'd like clarification on Page 17 and I will quote from the middle of the paragraph. In addition with respect to the one provision included in the 2010 notes and 2011 notes the Board of Directors has approved a modification to such provision subject do in conditions upon the confirmation of the transaction to permit the issuance of warrants person's common stock equal to 25% of the outstanding principle balance of the convertible notes and all on paid acute interest there on and a $1.48 per share. Are you familiar with that section?
Mark Emalfarb: I am somewhat familiar to that yes.
Richard Deutsch: So I don’t understand it. Are you actually going to issue warrants to people who are actually going to get their notes paid off or converted?
Mark Emalfarb: I believe that the people that have those warrants one of the provisions that already exists that maybe from Rob and Tom you can correct and Danai had a right to those warrants if they do not get paid if they don’t get converted is that correct. And in fact I think it is actually going down from three years and one year if you did not get paid off okay and there is certainly as it's a great opportunity…
Richard Deutsch: But this is the modification you are right you had an agreement in the place and what I'm questioning is you've made of modification to that agreement and it looks as if you are going to be giving warrants to people who didn’t have any rights to them because you are going to pay back the notes on time or they were going to convert without being called and thus the warrant aspects that were already extend would have not issued any warrants to them so it look like you are just actually giving away some warrants to people that I don’t see the purpose and then I'd like you to review this we cannot have to do it on the call but I certainly would like an answer to this and quite possibly a rethinking of why this is the case and whether it's fair to share a reason and appropriate so.
Mark Emalfarb: Rick. Yes, let me give you some answers now over on the phone so everybody gets the benefit of the same answer. One quite frankly I wasn’t part of those negotiations because I actually have one of those notes so I don’t have the details of the negotiations but as a noteholder I have a right you had those at 30 day call in provision if I recall those correctly that if we have to call them in that they get those warrants and thus people have to release those leans for DuPont as part of one of the conditions so we had no choice so we are not getting anything extra to have to have an ability to release the leans for us to close the transaction. And we don’t have the money to pay them off and we can't pay them off because we call them in early it triggers in anyways. So in fact I don’t believe anybody is getting extra in some cases this revision takes you from three years which I think was the 2011 and it only makes it one year as noteholder I think I'm actually losing rights. I think you need to readdress and look at that all on your own again.
Richard Deutsch: No that's why I asked a question and I think you've explained the legal and financial and business rationale for it I appreciate that I think you've covered it. That's why I asked the question so it was up there. And quite just one other question I'll go back into the queue because no design in the industrial enzyme business it was vulnerable to your technology and one of your major competitors were they given an opportunity to bid for that business so against their arch enemies DuPont and the other question is since BASF is a successful licensee, they also given and ability to participate and possibly joining into this bidding process and I'll take the answer offline and go back in the queue. Thank you.
Mark Emalfarb: So, Rick I can answer that very simply of course they were, as were whole a bunch of other people and of course since we're on a significant portion of this company we are interested in maximizing the value for all shareholders because of course we are the largest shareholders but the answer is yes. I could answer in that way but you obviously must to understand and realize that we've fiduciary duties do so but more importantly we've a practical reason to do so.
Operator: And we'll take a follow up question from Mr. Barry Kitt with Pinnacle Fund.
Barry Kitt: Just wanted to be clear that the legal effort between now and the trial, first of all legal effort is under contingency so, your cost to get some here in trails going to be very low would that be an accurate statement?
Mark Emalfarb: Yes, it would.
Operator: [Operator Instructions] We'll take our next question from Robert Hoffman with Princeton Opportunity Partners.
Robert Hoffman: A quick question on, where we go with Sanofi, you have mentioned that there is more and what to be done before it would prepared with to sell a license agreement, obviously that intel some R&D, who pays for that R&D?
Mark Emalfarb: Well, quite frankly, hopefully, they will and they'll be obligated to pay for that R&D if they want to continue to have the rights, they want to enjoy from that. So, we made actually pay for some of it if not 2 and moving it forward on our own but right now they're very excited and encouraged by it and we're trying to figure out the speed the time and the breadth and scope of how we will move forward together with them. So…
Robert Hoffman: The plan would be if you need to spend $0.5 million on continued work on the effort that would vis-à-vis be picked up by them completely or maybe shared?
Mark Emalfarb: But the plan is for them pick it up completely but by having them pick it up out completely that may be gives you more and broader rights. So, that would be under review but the plan is yes, yes they haven’t actually paid for it at all.
Robert Hoffman: I guess, I'm confused as to which comes first, I thought you said, they have to move the ball a little further before they prepare to have a to sign a license agreement, and that's where I was if you're signed license agreement and then they say okay, well instead of paying you and actually you're going to pay, minus something because we're going to pay for the R&D but if you hadn't gotten with that point yet, that's why I asked the question is -- I don't know who is going to pay for that getting into whatever yard line you have to get to.
Mark Emalfarb: So, I think I answer the question, I believe and our expectations are there going to be for it. They -- along the way we've also contributed to that, when they stop paying, as they made a conversation may be couple of calls ago, we signed a deal with Sanofi, it's a very large company and it started the fund to research and when we got to phase 1, we took a breadth not because we wanted to do but they have to go to management get permission to do the next stage, we just kept going so we paid for some of that, some of that got paid back some of that did not, then they signed addendum two that they paid for continued on and on and on, three, four same thing. So we kept pushing sometime when they stopped not because they didn't want to but they had to go back and get permission and we didn't want to slow things down. So, they should be paying for it all and hopefully going forward, they will and in fact we hope they will expand it and speed it up based on the results that they've seen so far.
Robert Hoffman: That's helpful. When you just walk through, how we comes to here so [indiscernible] agreements that have been extended I guess, what's your saying so far, it's not license agreement but it's a I think, on short-term agreement, I supposed correct?
Mark Emalfarb: It's an R&D project funded by them, it's had many addendums toward the continue on that has certain rights upon achieving certain goals and certain number of words for Dyadic along the way, what we hope that's Sanofi will become even more excited than they already today and they're very encouraged today and we can just like with BASF and [indiscernible] we have our fund into -- with one of the major pharmaceutical companies that not only unique, because they make vaccine but they make enzymes, like Glucose and Peroxidase enzyme, therapeutic anybodies maybe biosimilars down the road, because they realize the potential on the vastness and robustness and the versatility of this incredible technology and help us bring it forward and maybe become one of many bidders on that production system.
Robert Hoffman: Different tangent when you talked about willing able to have access to what DuPont is learning from the C1, how does that actually work, I mean, are you -- you have three years and which they basically share any additional streams or progress or data or how can you describe a little bit, how you what you get or how you would get that information?
Mark Emalfarb: Yes, but by the way that's an individual benefit that is 75 million more than cash that we actually get to the value to that to Dyadic so there is also a value to that to DuPont as well because we've been pursuing pharmaceutical products C1 and both of us will learn from one another but we will fund potentially projects at are old facility in Holland under the DuPont flag they have 30 years maybe of filamentous fungal gene expression technology, how to engineer fungi, how do develop fungi, how to manipulate fungi that can be transferred to the C1 organism they are somewhat brightest in this smart as fungal genetic experts in the world. They spend I guess is this half of billion or billion dollars over the years and learning how to do this and they will apply that's background knowledge to the products that we want to make so I'll give you an example you pick the drug so I don’t pick one Bob give me a therapeutic protein and which has use that name. [Indiscernible] whatever let's take a Neupogen okay if we choose to make Neupogen in C1 and we fund the research in our old facility with our scientist and nurse we will get the benefit of the background knowledge that DuPont has on top of the knowledge and experience our people already have on engineering C1 and we will get that strain with the Neupogen gene in it there could be license to somebody to produce it royalty free.
Robert Hoffman: Royalty fee to DuPont, they don’t get anything as much you are saying?
Mark Emalfarb: Yes we are Dyadic if we not pay a royalty because it's a Dyadic strain we will license it up potentially to somebody get royalties and milestones or payments but we wants to pay DuPont other than the funding and the research another royalty for that if they only use their background technology. As long as they are…
Robert Hoffman: [Indiscernible]?
Mark Emalfarb: For us.
Robert Hoffman: And that will be absolutely a company B wants to pursue Neupogen and they want to pay you to pay DuPont to do it for you that works as well. But in another words pass through so you are not funding?
Mark Emalfarb: DuPont and who wants to go after Neupogen I mean we are not were planning as we mentioned I think then I mentioned potentially at a very low cost part of our 3 million to 4 million budget per year is to chase a couple proof of concept anti buys their therapeutic drugs that we would then hopefully license to someone else the pharmaceutical company to take forward and it will get milestones and payments for as we continue to develop the system we have to develop a system with something so we're going to pick some potentially valuable parties to develop the ways of pharmaceuticals and that could be on our own as part of our budget they keep you expanded or it could actually take C1 technology and we can bring it into company A that wants to do it in house with our knowledge and expertise and they can do it just like [indiscernible] BASF did so the variety of models and opportunities and we’re excited to actually work with DuPont and find ways to create value for both companies that we can add win-win situations going forward and develop even a stronger relationship overtime.
Robert Hoffman: Along those lines so if you decide to do the research at the DuPont facility your old facility in those DuPont's facility and you create a path way to creating biologics those DuPont then gain that knowledge if they want to launch a biologics certainly the DuPont flag?
Mark Emalfarb: They may gain some of the knowledge because obviously we’re there but it becomes the definitive knowledge as we’re funding and paying for it but again we hope to DuPont's developed 15 drugs and paid us royalties because it's a huge workplace down the road.
Robert Hoffman: I'm not saying it's a bad thing I'm just saying I was imaging you really can't keep track of who knows what so whatever that's knowledge is created you have excess to it obviously and then DuPont has access to it if they want to do it themselves and that's gets to me to my final question next for now. The royalty that you've negotiated with DuPont is that of similar magnitude that you would expect to get from others or is it lower?
Mark Emalfarb: I can't really answer that question because I'm not quite sure what magnitude means from others. [Multiple Speakers]
Robert Hoffman: If you are sitting goals Sanofi and you are deciding that you are going to more of license fee pick a number 10 million and the royalty of X. Is that X similar I mean you have goals of what you think you should get from Sanofi is that X similar with that X that you've given DuPont or is DuPont getting a better deal than X in your strategy?
Mark Emalfarb: I would hope DuPont get a better a deals since to 75 million which part of it is for the benefits of that particular saying but the royalties from DuPont would not be insignificant and hopefully we would be getting more from somebody else that actually didn’t pay us all that upfront.
Robert Hoffman: That's why with the leading question in last but that's what I figured. I'll jump back in the queue. Thanks.
Operator: And we'll take a follow-up question from Richard Deutsch with Ladenburg Thalmann.
Richard Deutsch: What I would like to address here is the size of pharmaceutical opportunity and relationship to the size of the company at today’s closing you're approximately $60 million market cap or by looking forward with conclusion of these deals even without the lawsuit settlements. It's all of cash. So, we're talking about the size of the opportunity in pharmaceuticals and specifically, can you characterize just in order of magnitudes, the size of the opportunity with Sanofi, if they are successful in the program, emphasizing the fact that people don't understand that your previous deals required you to take some upfront cash and since you have more cash right now than you actually have immediate application for -- I would like you to address the fact that you've flexibility now to take an even larger end royalty and defer the upfront cash and so, in light of that, can you just characterized two things the magnitude of the opportunity with Sanofi have biggest vaccine maker in the world and the timeline because the thing that we also want to know, is when do you think or here the next announcement on this program, three months, six months, a year number one and number two the size of the opportunity? Thanks a lot.
Mark Emalfarb: Let me just start out with the market size and the opportunity, I think, I've mentioned the other night that in 2018, there is a study out that the $1.3 trillion of drugs being used worldwide, which a growing proportion of that our biologics, 10% of the European biologics are now biosimilars, the third world countries have patients with chronic disease, they can't afford these medicines, they need to find better cheaper ways for bringing those medicines to their ageing populations that are growing at an accelerated space as here in America even in the U.S. which is a very wealthy country, we can't afford to pay of the cost of these drugs as we age in the growing population of chronic disease patients grows. So, the opportunity is demand, the question comes on the end, it's picking the right molecules with the right companies and handling a right reason and right business model to capitalize on that and I would just give you a simple example to the company that's publically traded called Phoenix the symbol is PFNX, I think there market cap is around $400 million. They have a bacterial [indiscernible] expression system, our belief is that our C1 technology can hit a broader universe of proteins because we can make glyco and non-glycoproteins, the glycosylated proteins are typically for more valuable which means that our platform could have even far more value to the farmer's local business and that platform has. And so the opportunities are endless, the opportunities are there, we're going to be a little put our focus on them as and you pointed out we've been struggling with capital, we've been struggling with time and I think, there's great opportunity for us and DuPont in this space and together we can probably work and create even more value for each other and there is a lot of other people out there including Sanofi and others that have already seen some of the power of C1 and as you have pointed out in the past, when people have in their hands whether that [indiscernible] or BSF, they see the power of it and then they jump into with both feet so I just leave you with there -- with Sanofi in vaccine, there is a way potential with Sanofi and enzymes, and anybody with biosimilars, it's how fast, how broad, I can tell you because these guys move slowly but with DuPont now involved, they're going to have speed up or they can might left behind.
Richard Deutsch: Okay. Any comment about the timeline here?
Mark Emalfarb: I answer the timeline we need to move on because these questions are getting way to long.
Richard Deutsch: Okay.
Mark Emalfarb: And someone else needs an opportunity.
Operator: And we'll take a follow up question from Stuart Syme who is a Private Investor.
Unidentified Analyst: Yes, from the last conference call, you mentioned that the blackout period for the Board to acquire share and I was wondering now that the blackout period will be probably over Monday, whether or not the any remembers of the Board especially those who don't already on large number of shares have any intention of investing and putting more skin in the game so to speak?
Mark Emalfarb: I am going to let Tom answer that question because I don't think the blackout period is over on Monday and maybe he can explain to you why but I can assure you that most of the members of the Board including potentially myself who does have shares, if there was no blackout, I would probably be buying stock that we can make that decision either way now.
Thomas Dubinski: Correct. Normally if we didn't have a major transaction to close between now and year end, the blackout period would expire on Monday but it will not because of the transactions closed with the board will not be able to but I would remind you that our Board does take a portion of their compensation in the form of stock and they have boarding to do that since 2015. So they have increased their position, their ownership in the company and I can’t speak for them but that they has been amounted -- been discussed at the board level, once the blackout period expires management and the board taking looking at the ability to acquire more shares on ownership.
Operator: And will take next follow up question from Robert Hoffman with Princeton Opportunity Partners.
Robert Hoffman: You have said that 10% of the European drugs are biosimilars what is the magnitude of that revenue stream because we never saying I mean is that a because obviously the biosimilars are cheaper than that like generics versus name plate so any expense of what is that out there already in terms of end price or value in the market?
Thomas Dubinski: I got your point first of all I said 10% of the biotherapeutics that in all drugs you mean I just want to clarify that as the biotherapeutics market and to be honest with you off the top of my head I don’t recall the exact number but it's a fairly significant number and it's growing a far merging countries of Brazil, Russia, China, India any other 17 countries in far merging are obviously growing biologics. The first biological drug has been approved here in the United States and I think it's a offered races and hopefully we can participate in or more or several of those opportunities. So with that I think will cut the questions off because it's running late and I will turn it back over to the operator. Thank you all. We appreciate you being shareholders and supported Dyadic and for participating in today's conference call. And we look forward to working together with creating value as we move forward. Thank you.
Operator: This concludes our program for today. You may now disconnect.